Olof Svensson: Good morning, everyone. And welcome to the Presentation of EQT’s Full Year Results. 2024 was a record year of investment volumes, increasing exit activity and strong value creation for EQT. It was also a year of continued headwinds for the global fundraising market, yet one where EQT closed the largest private equity fund globally for the year and we continued to build our distribution channels, including our private wealth initiatives. Today, we will reflect on our priorities for 2025 and the future of private markets. With those words, let me hand over to Christian. Next slide, please.
Christian Sinding: Thanks, Olof. Good morning, everyone from Davos. I’ve spent the week here and actually I’m quite encouraged by the positive business outlook shared by most everyone that I’ve met during the conference. Of course, there are also longer term questions regarding geopolitics, inflation, decarbonization and AI that we and other investors are considering when investing capital and managing companies, but EQT, of course, does that in line with our thematic approach. And looking at EQT, our global portfolio is developing quite well with double-digit EBITDA growth across sectors and regions. In 2024, EQT made progress in some key areas. We delivered a value uplift in the funds of 18%. We had a record year for investments as we executed on a strong pipeline across North America, Europe and Asia. We delivered on our objective to drive exits and volumes were up 70% with approximately 30 exit events across our key funds alone. We launched two investment strategies across healthcare growth and transition infrastructure, and we now have two active vehicles for private wealth, where EQRT, our U.S. REIT, just started raising capital, and we have another three private vehicles underway this year. Overall, we’re entering 2025 optimistic about the deal environment, although, of course, humble about the world conditions, and we expect high exit activity and high deal activity for the year with more than 30 exit events planned. Next slide. So taking a step back, I see five forces that is going to drive that are going to drive the opportunity and shape our industry over the next decade. First, a larger share of value creation is taking place in private markets. Yes, public market performance was strong recently, but this, as we all know, was concentrated highly to seven U.S. stocks. And in fact, only 15% of companies in the U.S. with revenues over $100 million are now publicly traded. And the number of IPOs, as we’ve talked about, has steadily come down. And during this period, private markets have outperformed the public markets almost -- across almost all timeframes. So private markets are needed not just to generate returns, but actually also diversification and that’s why both institutions and individuals are attracted to our asset classes. Second, the investment opportunity in private markets is vast. Beyond private equity sectors, such as healthcare, software services, et cetera, active owners like EQT are driving the digitalization of society, the decarbonization of our economies and building future infrastructure. In fact, McKinsey estimates that approximately $275 trillion will be spent on physical assets in the transition to a decarbonized economy just until 2050. And to do that, we need a lot of capital. We also need superb cooperation between business and government across the world to make it happen. At EQT, we do have one of the largest global deal sourcing machines in the industry, and that’s built to capture those opportunities. And some recent ones include EdgeConneX, which is one of the largest data center providers in the world, or transition-related investments such as InstaVolt or Statera in the U.K. Third, private markets are expected to double by 2030 and double again by 2040. The growth until 2040 is expected to be paced by something like $8 trillion to $10 trillion in private wealth, $7 trillion to $8 trillion in sovereign wealth funds, and $3 trillion to $5 trillion in pension funds. And as expected, as we talked about before, capital is increasingly concentrated with the larger managers. So in the buyout category, actually, over the last three years, the number of buyout funds has decreased, and actually dramatically more in venture capital. And on the other side, the top 10 funds in the world in the first half of 2024 accounted for 65% of capital raised. So as a result, we believe our industry will continue to consolidate and EQT will continue to be active in bringing together strong teams into EQT and to our platforms. Fourth, the world is facing rapid technological shifts and climate and geopolitical risks. And as we all know, the rise of AI is transforming industries and companies and has the potential to create tremendous value and is already doing that. And at EQT, with our Motherbrain team, we’re going after opportunities both for efficiencies and costs, et cetera, but also to drive revenues across our entire portfolio, sector-by-sector, and of course, starting there with tech, as we talked about before. Furthermore, we do also build climate resilience into the strategy of our portfolio companies and we do that by setting science-based targets for every single company and building that into the strategy of the businesses. And today, 52 of our companies have set their net zero strategies, which means more than 60% of our invested capital. And this creates both resilience for the future and we believe is going to make those companies more valuable. Overall, the key focus this year is at EQT in our portfolio is on future-proofing and driving performance there. That’s how we create fundamental value, by making companies better and stronger. And we’re also then refining our value creation playbook sector-by-sector, bringing in new talents to our industrial advisory network and making sure that they really help guide and challenge our management teams to perform at their best. Finally, the liquidity and ownership model in private markets is evolving. And we’re assessing and working with new areas for our clients in terms of liquidity solutions, more bespoke investment strategies, continuation vehicles, private IPOs, which we are working on in Nord, and GP-led secondaries. Next slide, please. 2024 showed the strength of EQT’s global platform with these two axes of being local with locals, on the one hand, and a thematic investment approach, on the other hand. And even if GDP growth in Europe has been slower than the rest of the world, our companies and assets here are performing quite well. So our approach has enabled us to invest in long-term themes, outpacing GDP, such as health and well-being, the energy transition, education, and actually around 90% of our portfolio companies in Europe expect double-digit EBITDA growth over the next year. There’s a lot of discussion these days about European competitiveness. We agree with that. We are also engaging with all the stakeholders around those questions. But in the meantime, what’s interesting is that this means that EQT can find global leaders in Europe at more attractive valuations than in other regions, particularly the U.S., and therefore, we’ve been able to buy companies and take them private, like Dechra Animal Health. So there’s some silver lining in these questions. Now, one-third of our invested capital is in North America and the sentiment there, as we all know, is quite strong for the coming period. And we also have solid performance in Asia. For example, our India team has excellent deal flow. That’s our largest program in Asia, about 30% of the private equity fund in Asia. And also, value creation is very strong. Our Japan team is also very active with plenty of new deals. And we’ve strengthened our team there with the addition of Tasuku Kuwabara, who will be leading our infra efforts in Japan after a long career of heading up McKinsey in the country. Now, across America and Asia, three-quarters of our portfolio companies project double-digit EBITDA growth there in 2025. Looking across to the next slide, you’ll see the value uplift in key funds in 2024 was 18%, with Q4 being our strongest quarter in three years. And this is driven by several factors; healthy underlying performance, as you heard, with solid trends on sales and EBITDA; exits or exit processes with good valuation indications; and also reference multiples being more supportive in our sectors. Furthermore, now five of our 10 key funds are expected to perform above plan. And we just upgraded our expectations for BPEA VIII to perform above plan. Again, back to the strong performance in Asia. And a number of companies in that portfolio are actually performing ahead of the underwriting and we’ve already had a first liquidity event, the IPO of Sagility in India, which is actually up more than 50% since listing. Excuse me, so, next slide. So, of the more than 30 exit actions last year, we’ve executed a number of large exits with solid returns for both our clients and our funds, and also new investors in those stocks. And this has been a quite important focus for us as we own a number of leaders in industries across the world. And I have a couple of examples for you. First, Galderma, that’s now generated a 3.7 times return for our clients at the current market value, with a more than $8 billion capital gain for our co-investors and a more than 100% gain for the IPO investors in the company, performing very, very well in the Swiss Stock Exchange. Then we have Nord Anglia. That’s grown from six to more than 80 schools since 2008. It’s the biggest private education company in the world. And we’re going to continue to invest in that company and participate in the value creation journey, along with a number of co-investors in a $15 billion transaction. And there, we’re also working to create this private IPO concept that we’ve talked about. And finally, EdgeConneX, I mentioned earlier, this has turn into -- grown into one of the largest data center businesses globally. It now has a high double-digit billion-dollar valuation. And we recently brought in a minority investor and keep investing in growth globally in that exciting sector. So with those words, I’ll hand over to Gustav, who’s going to give some more color on fundraising.
Gustav Segerberg: Thank you, Chris. Good to see everyone. And 2024 was a continued tough fundraising year and fundraising timelines remained extended. We do not expect any significant improvement in the overall fundraising market during 2025 and our expectation is that it will take until 2027 before we are back at the same fundraising levels as we saw in 2021. However, as Chris stated, we continue to see that large managers like EQT are gaining market shares and hence we expect to outgrow the overall fundraising market. For EQT, 2024 marked a year of successful final closes. EQT X was closed, being the largest private equity fund globally to complete during 2024. We also concluded the first-generation fundraisings of Active Core Infra at close to €3 billion. BPEA Mid-Market Growth above hard cap at $1.5 billion and EQT Future at €3 billion. All of these important scale levers for us as when we come to the next fund generation. During the quarter, we continue to make progress on Infrastructure VI, going from €16.9 billion to €18.1 billion and we expect to reach the target fund size in the final close by the end of the first quarter. With the launch of BPEA IX, we have entered into our next fundraising cycle, where we expect to launch fundraisings equal to at least €100 billion. For BPEA IX, fundraising is progressing ahead of our expectations. We expect the fund to be activated during the first half of this year and we expect to approach the target fund size at the first close, which will also take place during the first half of this year. Regarding EQT XI and Infrastructure VII, the communication is the same as it was in the Q3 presentation. We expect EQT XI to be activated in early 2026 and Infrastructure VI to be activated around mid-year 2026. As communicated before, this is not exact science, but we do not expect it to be earlier. However, note that the fundraising for both funds will likely be initiated earlier. Next slide, please. On the private wealth side, we continue to make progress on building out our platform. First of all, with great people, the foundation. Today, we have more than 100 people across sales, operations, product development and branding. Secondly, by creating partnerships globally, where we can use our strong banking relationships to get a seat at the table. A table which will be much more concentrated than on the institutional side. Again, benefiting large managers. And lastly, by creating well-performing vehicles suitable for private individuals, where we can use our broad platform to create diversified exposures, which very few competitors can replicate. For EQT Nexus, we’ve also starting to see the scalability, with Q4 being the strongest quarter for inflow so far and up approximately 50% compared to the average of the other nine months in 2024. The NAV for EQT Nexus is now around a €1 billion and we’re expecting a number of large both regional and global distributors to onboard the fund in the first half of this year. On the product development side, we’re expecting to launch EQT Nexus Infrastructure focused in Europe and Asia, and then move to the U.S. with the launch of two additional vehicles, one for private equity and one for infrastructure. More to come on this in our upcoming reports. And with that, I will hand over to Olof. Next slide please.
Olof Svensson: Thank you very much, Gustav. Next we’re turning to investment and exit activity. So if you look at our investment volumes for 2024 as mentioned it represented a new record for EQT at €22 billion. We’ve acquired companies and assets across teams such as energy transition, changing value chain, education and digitalization. As Christian alluded to we continue to take advantage of relatively more attractive valuation levels in Europe versus the U.S., for example, and about 45% of our investments were made across Europe. North America represented about a third of the investments that we made and a quarter of the acquisitions were in Asia. If we look at real estate to point out one area activity picked up with €4 billion of investments that’s more than twice the muted volumes that we experienced in each of 2022 and 2023. And on the real estate side we’re seeing that buyer and seller expectations have significantly narrowed and the financing is available in for real estate deals again. Next slide please. And next turning to the exit markets where we’ve seen market conditions improving throughout the year. Sponsor M&A volumes were up some 16% paced by deal activity in North America. Global ECM volumes were up some 20% but they remained meaningfully below their long-term averages and debt markets were very, very supportive throughout the year. 2024 represented a record year for EQT in terms of the number of exit events with approximately 30 announced realizations over the years. As you’ll know our exit events included full exits for some of our companies. We did IPOs and sell downs in those listed companies and we also did some minority sales as you will have seen. In terms of volumes the exit activity increased by some 70% but still remained well below the level seen back in 2020-2022. Notably exits picked up significantly in infrastructure and Asia represented some 15% of our announced exits and then we still have processes as Christian mentioned that are underway such as Nord Anglia still. Next slide please. Turn to the ECM market which has a special place in my heart. EQT was the most active private markets firm globally when it comes to ECM deals in 2024 led by Magnus in our capital markets team. Recent IPOs include Kodiak, Galderma and Sagility which all performed strongly in the public markets. These transactions delivered strong returns for both our clients and IPO investors gaining between 50% and 200% in the aftermarket and the strong performance has allowed EQT to execute a number of follow-on offerings since listing with two of -- three of, I am sorry, in each of Kodiak and Galderma. Next slide please. Next turning to the EQT share in a few words on our liquidity and share liquidity in our stock increased by some 20% year-over-year and it’s up some 33% following the lockup expiry that we had in 2024 compared to the 12 months’ prior period. Our weight in certain indices increased in Q4 on the back of the higher free float and EQT is now the only private markets firm globally to be part of the Dow Jones Sustainability World Index. If we focus on the lockup expires during 2023 and 2024 approximately 20% of EQT share capital expired from lockups and that includes 12% in September of 2024. If we look at the current and former employees of EQT that are subject to these lock-up agreements, they continue to own a slight majority of the shares that were released over this two-year timeframe. As we look ahead we’ll be hosting various events during the first half to engage with shareholders and market participants and I’d flag our next event which will be sell-side analyst meeting in London next week. So, with that, I’ll hand over to Kim to go through the financials. Next slide please.
Kim Henriksson: Thank you, Olof, and good morning, everyone. In 2024 we increased our management fees by some 7% based by closed-out commitments in our key funds. Total catch-up fees in 2024, i.e. revenues recognized in 2024 relating to prior years, amounted to around €90 million. Our management fees grow with the fundraising cycles and since our IPO in 2019 we’ve so far had two significant step changes in our management fees. First in 2021 from the acquisition of EQT Exeter and the fundraisings of EQT IX and Infra V, and subsequently in 2023 and 2024 with the full year effects from BPEA, Infra VI and EQT X. During the period we have also kept our effective management fee stable at around 1.4%. We’re now entering a new €100 billion fundraising cycle where we can expect another organic management fee step-up profile over the next few years. Next slide please. In 2024 we have increased the exit pace and delivered strong value creation in the portfolio leading to an increase in carried interest and investment income of around 50% with total recognized amount of around €250 million. Of our €11 billion of signed exits around 45% were from funds in carry mode and taking a longer term perspective we have material carry yet to be recognized from our current key funds more than €8 billion over the life cycle if the funds are performing on plan. So for our funds currently in carry mode we have another €1 billion left to recognize driven by continued value uplift and exits events and keep in mind that the 30% to 50% discount on unrealized values are removed when a company is exited. Based on the four key funds that are currently in a carry mode near-term carry recognition for EQT AB will primarily be driven by exits. We have an optimistic view on the exit environment for 2025 but volumes will depend on how market conditions evolve. With 10-year plus funds we still have another three years to four years to go so we can be patient to optimize returns if market conditions are not right at any given point in time. For the next funds to enter carry let me elaborate on the rule of thumb. So typically a fund should be at 1.7 times to 1.8 times gross MOIC, should be four years to six years into its life cycle and with a few material exits concluded. Taking a closer look at Infra IV and EQT IX these funds still need to execute exits material for the fund and given the slower deal environment in recent years it’s reasonable to expect recognition for these funds to start towards the back end of our rule of thumb. So six years plus rather than four years. We’re not expecting to recognize carry for these funds in 2025 and thereafter timing will depend on the exits and the pace of value creation. For our most recent vintages naturally these funds are still investing and carry is expected further out in time following a period of value creation and you should expect BPEA VIII to be the first out of these funds to enter carry mode. Now also expected to perform above plan according to our framework. And finally remember as we have mentioned previously we have a young portfolio less than 20% held longer than five years. We have 10-year plus funds and carry is back end loaded and all key funds continue to perform on or above plan but we expect exits one year to one and a half years later versus the initial underwriting case in certain funds. And cash carry often comes some two years after carry is recognized on the P&L for accounting purposes. And from a top-down perspective in 2021 we had about €30 billion of exits and recognized €500 million of carry. Next slide please. We are and have always invested for future growth. Our EBITDA margin target stands at 55% to 65% with figures at the upper end of that range or above in years of substantial carried interest recognition. Since the IPO we have increased our fee-related margin from 43% to 53% and currently the fee-related EBITDA margin is impacted by incremental costs relating to our future growth, in particular related to our efforts in private wealth, in institutional capital raising and in the new strategies that are not yet at scale. As we complete the €100 billion fundraising cycle, we expect to reach the 55% to 65% range also on a fee-related EBITDA basis. In 2024, an initiative related to the U.S. Multifamily Fund was discontinued following a challenging fundraising market. The associated costs and a revaluation of the Multifamily investment has an approximately €80 million impact net of tax in the reported P&L, adjusted for as an item affecting comparability in our adjusted accounts. Next slide please. At the time of the IPO, we had six distinct strategies. Today we have increased that number to 18. Of these, 10 are still at early stages of scalability and profitability, and it will take around two to three fund generations before these have a significant positive contribution to our profitability. Our early stage strategies, ventures and life scientists will not scale to the same levels as our flagship strategies, but they do support our platform through sector knowledge sharing and complement our overall offering so that we can provide our clients exposure to companies from emerging to mature. We’re very excited about the prospects of our private wealth strategies, however we also recognize the fact that they will take multiple years to scale. Next slide please. Excuse me, our growth efforts are naturally also reflected in the build-out of our organization. We’re adding people in private wealth and institutional capital raising. We have gone from some 50 people dedicated to private wealth in 2033 to around 100 in 2024, as mentioned by Gustav. This is reflected not only within the capital raising team but also within functions such as fund operations, product development, brand and marketing and other related teams. Regarding real estate, we have reduced the number of employees in the U.S. following the decision to discontinue the initiative related to the U.S. Multifamily Fund and thus to optimize team size. Next slide please. Our balance sheet continues to be robust and well capitalized, and we’re expecting more substantial cash carry interest in the coming years, so we continue to actively use the balance sheet to support growth initiatives and recently focusing on the upcoming private wealth products. We also repurchased 4.2 million shares to offset the potential dilution from equity incentive programs and the proposed dividend of SEK4.3 per share in 2024 is around 20% higher than the year before, in line with our dividend policy of a steadily increasing dividend per share. Next slide please. So putting it all together, we have entered a new fundraising cycle expecting to launch fundraisers of €100 billion to drive the next step up in management fees. Our carry prospects over time are material in the short-term driven by funds already in carry mode and highly dependent on exit activity. Current margins are impacted by costs taken to spur future growth and we’re expecting to grow margins over time to reach the 55% to 65% EBITDA margin target range on a fee related basis. With that, I hand over to Chris to conclude. Next slide please.
Christian Sinding: Thanks, Kim. So 2024 was a year of record investments, improved exit activity and solid value creation. Now looking into this year we expect Infrastructure VI to close this quarter and fundraising for BPEA IX is progressing ahead of our initial expectations. We have a pipeline of more than 30 exit events for the year, but of course, we’re going to be patient if the markets turn more volatile than they are today. And overall our industry is set for long-term growth so we’re strengthening our platform, introducing new strategies and distribution channels so we can really grasp that opportunity ahead. And with those words, I’d like to open up for the Q&A.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Bruce Hamilton from Morgan Stanley. Please go ahead.
Bruce Hamilton: Hi. Good morning, guys, and thanks for taking my questions. Maybe the first one looking at the sort of wealth opportunity and the build out there. So you pointed to a decent tick up in the momentum in the Nexus product in Europe, but as you think about the U.S., where are you in terms of the kind of number of distributors you signed up and so how quickly do you expect those products could ramp given obviously some of the U.S. firms have ramped pretty quickly in private equity in the last year. And then on the sort of brand point in the U.S., how much of a constraint is that or do you feel you’re in a pretty good position? And that was the kind of first question. Second one and thanks for the additional sort of granularity on sort of how to think about carry. But I mean if I think about consensus numbers I think they’ve now come down to €630 million [ph] or something for 2025. So should I think about this that you’ve got a €1 billion still to be delivered from the funds in carry and that would you’d expect to be delivered over the next two years say and so level loaded that bit of downside. So it depends on the sort of how strong the market is in 2025 but it’s not impossible. Is that kind of the way to kind of read it? And every final point just on the real estate sort of impairment. Is that a very isolated thing. I guess it speaks to the continued challenges in real estate or is it completely isolated or are there other areas that could be under review? Thank you.
Christian Sinding: Thank you, Bruce. Gustav will take the first one and the second one. Kim the third and the fourth and I’ll comment thereafter.
Gustav Segerberg: Yeah. And I would say that on them on the private well side in the U.S. given that we are right now in regulatory filings for the products and hence we are really constrained on what we can comment so to speak. I think in general what I would say is that, of course, we wouldn’t launch the products unless we feel that we have let’s say momentum with the distributors and that of course goes both for the European and the U.S. products. On the brands -- branding side, I think, that it compares -- it depends a little bit on what you compare with. I would say, of course, if you would compare us to the U.S. players, some of the U.S. players, I think, we of course recognize that we don’t have the same brand recognition to start off with day one launching in the U.S., but of course, over time this will also be dependent on the relationships that we have with the distributors. This is still a product that’s let’s say being sold not bought and also, of course, the performance that we deliver in the products where we feel that we will continue to have well-performing products and hence be very competitive from that perspective.
Christian Sinding: Yeah. And I’ll just add a comment there, and as you know we also have strengthened the team around branding and communications. We have now a very active program we’re called you think with the client communications and in terms of North America we’re investing almost half of the of the flagship in for fund the line part of the real estate business and about 40% of the private equity strategy there. So we’re talking tens of billions of dollars that’s invested. So we are a bigger player in the U.S. than people might think, and of course, we’re building out all the capabilities in communication to ultimately have a very strong brand there as well.
Kim Henriksson: And on carry, Bruce, I would note that that we have given some more pedagogic breakdown of it here and more granularity as you say. That doesn’t mean that we want to comment on where we think we will come out in relation to consensus. That’s not really how we want to deal with it. What I would say though is that your maths are broadly fine but we do not say whether it’s going to be in 2025 or 2026 that €1 billion that is left to be recognized. And remember that €1 billion was calculated on a basis of on-plan performance in those funds as well. So I can’t give you more information on that at this point. And then on the real estate, well, it was a very specific situation where we have discontinued that fund initiative. There’s been management changes, et cetera. So we see it as an isolated situation and that’s why we’ve also classified it as a non-recurring item in the accounts.
Bruce Hamilton: Great. Thank you.
Operator: Thank you. We will now take our next question. And the next question comes from the line of Hubert Lam from Bank of America. Please go ahead.
Hubert Lam: Great. Thank you for taking my questions. I’ve got three of them. Firstly, can you discuss your views in terms of the outlook, in terms of activity, both investments? And you also talked about exits also for 2025. I guess in the start of the year we expect the central rates to cut rate -- to Central Banks to cut rates and now we’re probably in a higher rate environment for longer. So just wondering how you see the scenario around the outlook, around the macro and rates and how it impacts your expectations for this year? Second question is on your transition infrastructure fund. Maybe you can just talk a bit more about what you think about the size and timing for this fund. I think the reports out there are suggesting it could be as big as €4 billion. Just wondering if you can comment on the size, as well as what you expect this fund to be activated and possibly closed. And lastly, maybe you can talk a bit about cost growth expectations for this year, as well as FTE growth? Thank you.
Christian Sinding: Yeah. Thank you. So on the outlook, I think, what’s more important for investors globally and for the capital markets globally is stability. And if you look back into 2024, I think, 75% of the world’s population went to vote, including some of the largest economies in the world and the largest economy. So if you look at geopolitical tensions, those tensions have come down a little bit and the underlying growth forecasts around the world are pretty healthy. Europe a little bit less, but not in the sectors that we’re investing in. So if you look at the equity capital markets and the debt capital markets, they’re super healthy. There’s a lot of capital in private markets with strategic buyers, with family offices, that are ready to do M&A. So when you put all the factors together, we’re expecting a continued quite active year. Like we said, we have more than 30 exit actions planned across private and public exits. Of course, this is dependent on market conditions. But our reading of the market, the way we’re discussing it with counterparties across the world, that’s the current outlook that we have and we’re executing behind that. On the deal flow side, as you know, with being local with locals and thematic, we have these two axes that are continuously searching for deals. So we have strong deal flow across all sectors and regions and we’re just trying to deploy capital at a measured and good pace so that we can stay on this kind of three-and-a-half-year type of time cycle for the fundraisers.
Kim Henriksson: And maybe I take the transition in for our question. So as I think you might remember, we talked earlier about that the early, let’s say, the first fund generations, we typically say that the smaller ones are in the, let’s say, €1 billion to €2 type -- billion type of fund size. And the larger ones are into what we’ve said, €3 billion to €5 billion fund sizes. And we will categorize transition in the larger bucket there. So €3 billion to €5 billion. We have just done the first two deals based on commitment from our balance sheet. We’re right now in dialogue with anchors, but that means that the fundraising is just getting launched now. So I -- you should expect that activation will happen here during Q1 of this year and I would assume that the fundraising will continue for a good part into 2026 as well.
Gustav Segerberg: And on headcount growth, Hubert, we had approximately 100 of increase during 2024 and we will in 2025 continue to increase our efforts in private wealth. We will continue to grow in certain specific regions and pockets on the investment professional side, staying broadly flat on the more central and support services with the exception of private wealth related things, which leads me to say that a similar headcount number increases is not an unreasonable expectation for 2025.
Hubert Lam: Great. Thank you.
Operator: Thank you. Your next question comes from the line of Haley Tam from UBS. Please go ahead.
Haley Tam: Good morning. Thank you very much for taking my questions. Could I ask one quickly on the exit outlook and then one on carry as well? So with the exit outlook, you said there’s more than 30X events planned for 2025. I just wondered, could you give us any indication of the total volume this might represent? And then in terms of carry, thank you for the additional comments around when Infra IV and EQT IX might go into carry mode. Could I just understand that because obviously Infra IV is now at 1.9 times multiple investor capital, so well above the 1.7 times to 1.8 times, and EQT IX is obviously at 1.6 times. So is there something different about these funds, perhaps in terms of bigger haircuts on unrealized deals or just to try and help us understand why they won’t be going into carry mode, do you think, this year? Thank you very much.
Christian Sinding: Thank you. On the exit outlook, as you know, we don’t give guidance on the number of transactions that we will do, and therefore also connected to that, the carry. And it depends very much on market conditions and the type of deal. So in every situation, we have multiple exit paths. It might be, if it’s a private company, we might be looking at a recap or a partial sale or a majority sale or a full sale. We could also look at an IPO. If we have a public company, we might do a book build, we might do a smaller sell down, a strategic might take a stake. So there are a lot of variables in the transaction industry, and that’s why we’re trying to indicate the number of activities that we have, the same as we had last year, a number of activities. And I think it’s hard to be more precise than that, other than to say that this has a super high priority for us as a firm, for our clients and for industry.
Kim Henriksson: And on carry, if I may add to that, then first of all, what we have given is a rule of thumb and a rule of thumb is just that. So there’s always going to be difference to it and it revolves around both the MOIC, but also the timing and the number of exits. And I guess that the recent past has seen less in terms of exit activity than we would have expected at the start of those funds and a somewhat prolonged fund or sort of holding period during that time. Those would be the differences in timing of carry.
Haley Tam: Thank you.
Operator: Thank you. Your next question comes from the line of Arnaud Giblat from BNP Paribas. Please go ahead.
Arnaud Giblat: Good morning, and thank you for the incremental performance disclosure, that’s I find it particularly helpful. I’ve got three questions. Again, if I could come back to the outlook for activity, your U.S. peers are particularly optimistic on the outlook for capital markets in the U.S. As a global player, I can ask you if you see a bit of a divergence going on between Europe and the U.S.? And secondly, obviously, you’ve got really good momentum in infra and in Asia. I’m wondering at what point would you consider building out some more meaningfully infra in Asia? I mean, I see that you’re going to do this with the wealth products, but in terms of maybe launching a flagship strategy there? And my final question is consolidation continues at pace in the industry. Is that something you’re still considering or an update on your thoughts there would be helpful? Thank you.
Christian Sinding: Thank you. Good questions. Now, if you look at the outlook, I think, all the global capital markets have a positive outlook, probably driven more by the U.S. and the expected increased economic activity with the new administration there. And what’s expected to currently be stable interest rates. We don’t yet know. I don’t think we have a consensus yet for what’s going to happen there. So I think exit conditions and deal conditions are good in all regions. Now, the underlying economic activity, of course, varies a lot. India is our fastest growing market and there we have two exits planned, at least. We have really strong deal flow and strong underlying performance. In the U.S., we have a fairly strong economy, as you know. I think I mentioned in Europe, the sectors that we’re in are also growing nicely. And so it breaks down into geographies and sectors, and we’re not -- so we’re not leaning towards a particular region in our commentary there. Now, when it comes to the Asia question, if you look at infrastructure today, about 10% to 15% of our global infrastructure fund has invested in Asia. We just did our first exit in India, where we made three times the money in a renewables business that we developed together with Temasek. And so we’re off to a good start. And what we typically do when we enter new regions or new sectors is we do a number of deals, prove the track record and then when the track record is set, we build a strategy around that. So your question is very good. But we don’t have a timeline for that initiative at this point in time that we can communicate. Finally, the consolidation of the industry. Yes, we are in, and as we always say, we are in active dialogues with many different players, to understand where the industry is going, how different strategies can complement EQT and those discussions, sometimes they lead to a transaction. But there are many hurdles that we need to meet, it needs to fit very well strategically, it needs to be a top performing business and it needs to have a team needs to be a great fit with us and with them, the cultural and values fit need to be superb. So we’re quite picky. But there is a lot of activity and we expect the consolidation to go on in this industry for the next five years to 10 years, and actually be very substantial. But at the same time, we’ll see a number of funds winding down, as we’ve already mentioned in the report.
Arnaud Giblat: Great. Thank you very much.
Operator: Thank you. Your next question comes from the line of Ermin Keric from Carnegie. Please go ahead.
Ermin Keric: Good morning and thanks for the presentation. And apologies if anything of this has been gone through because I got cut off in the middle of the call. But starting off, I mean, you mentioned about 30 planned exit activities, I believe, and you had about the same in 2024. Could you just tell us if you expect kind of the type of activities to be very different? I suppose it ties back kind of before to the volume question for 2025, how would you think about it? And also, you mentioned that you did €30 billion of exits in 2021 for €500 million of carry. And I suppose this year, you did about €11 billion of exits and €250 million. So the proportion is quite different. Is it something specific that’s making it different in 2024? Then on fundraising, BPEA IX seems to be going much faster than Infra VI. Would you say that’s driven by a better market or are they not really comparable because it’s completely different strategies? And then just lastly, maybe on Infra VI, or sorry, on Infra IV, I suppose that the MOIC rule of thumb is met and also the timing. So it seems like the DPI is the main trigger we’re waiting for. Could you give us any kind of rule of thumb for the DPI that you’re looking for before you recognize carry? Thank you.
Gustav Segerberg: Okay. I can take your first question. I mean, I see it related to exit activities. And yes, indeed, we covered some of this when you dropped off the call based on an earlier question. You’re right. We had about 30 exit events last year. This year, we’re planning for another 30 exit events. To plan for these events is what’s within our control and that’s what we set out to do, to be ready to execute if the markets are right. Of course, we don’t know whether the market is going to be right. But if it is, we are ready to execute. We, on purpose, don’t link it to a volume number. It will be depending on what type of exit we actually execute. We could do IPOs, minority sales, full sales, et cetera, et cetera. As you know, it will depend a bit on how these exit processes come along. So I’ll keep it at that.
Christian Sinding: And next question, Kim, do you want to take the next question.
Kim Henriksson: Yeah. Maybe on the exits -- on the -- yeah. Well, first of all, I’d say, of course, there is -- you need to look at whether the exits are in funds that are actually in carry mode. That impacts the number, of course, quite dramatically. I’d also point to that 2021 had significant exits on the real estate side, which do not -- which did not have any carry associated with them. So there is -- it’s not like-for-like. This was just a top one -- top-down observation on the sort of on the size of that. Then on DPI, I guess, we haven’t really given a tangible number there, but you’re pointing to the right topic, i.e. you need to have real cash exits in the funds with money delivered back to the investors in order to get to carry mode. And the DPI rule of thumb also differs depending on whether you have -- you are in a situation, as we have been in the last few years, with pretty slow environment and slower exit environment in particular, or whether you are in an environment where the churn is quicker. So I don’t want to give you an exact number, but hopefully that’s somewhat helpful. And then maybe on BPEA IX, I would say a couple of things. One is the market -- I think, market timing for when Infra VI was launched was probably, let’s say, the worst period of time on a relative basis in this window that we’ve seen, so to speak, in, let’s say, early 2023. So, of course, from a fundraising market perspective, we’re seeing that this -- we’re not seeing much higher volumes now compared to that point in time. But then there was a lot of standstill in the market, which affected timing for Infra VI. I think that’s one, of course. Secondly, there is a size difference between them. And then I would say, thirdly, we see that for BPEA IX, we’re getting a lot of positive, let’s say, traction related to the relative strength of the BPEA platform in Asia, which, of course, is also helping.
Ermin Keric: Thank you.
Operator: Thank you. Your next question comes from the line of Angeliki Bairaktari from JPMorgan. Please go ahead.
Angeliki Bairaktari: Good morning and thank you for taking my questions. First of all, with regards to the EQT Nexus inflows that you’ve seen this year, can you give us some color on which countries are driving most of these inflows? Is it the Nordic countries where you first started? Is it Asia? Any color there would be much appreciated. Then second question with regards to the IRA funding pause in the U.S. that was signed the executive order earlier this week by the new administration. Does it have any impact on your investment portfolio at all? And third question with regards to Exeter, the real estate business. What management fee rate should we assume for the fee paying AUM there? And are there any transaction or other fees that supported the management fees that we see from Exeter this year? Thank you.
Gustav Segerberg: So maybe I start with the EQT Nexus. I won’t comment on, let’s say, specifics, but I would say that, the development that we’re seeing now is a much more global inflow and that, let’s say, the relative strength of the Nordics, as we had expected in this, has gone down significantly. So in Q4, the significant majority of the capital was raised outside of the Nordics, which I would say that we would, we still expect to continue to have good inflow from the Nordics. But now we’re seeing the, let’s say, the Nordics paying off.
Christian Sinding: On the IRA, the way we invest in infrastructure is across a number of different sectors, the digitalization of society, the transportation sector, the -- let’s say, the aging population around health care, et cetera. And of course, also the energy transition. And if you look at those four sectors, even in the energy transition, everything we’re investing in are proven technologies, commercial companies, profitable enterprises. So we’ve never made an investment that’s been dependent on the IRA or the new Green Deal or the EU Green Deal, for that matter. And we’ve been very careful not to take political risk in our investments and continue to do so. So we don’t yet see any positive nor negative impact and we continue to have lots of investment opportunities across those sectors, across regions.
Kim Henriksson: And lastly, on the Exeter side, the fee rate is broadly in line with the blended fee rate for the overall firm, maybe somewhat lower. This -- it’s some -- it’s structured slightly differently, where there are also some leasing rates and management, sorry, construction management fees, et cetera, which we can go through offline and -- at some point, but broadly similar, slightly below the average fee for the firm.
Angeliki Bairaktari: Thank you.
Operator: Thank you. Your next question comes from the line of Jacob Hesslevik from SEB. Please go ahead.
Jacob Hesslevik: Yeah. Good morning, everyone. My first question is on your outlook. It seems you’re a bit lukewarm on Europe in the report this morning. So what do you believe is required to make Europe more attractive again? Is it just less regulation, less political uncertainty or are you looking at a better overall macroeconomic outlook? And then second, my question is on MOIC development. Five out of 10 flagship funds are up since just last quarter. Is it mainly the listed public asset side that has driven the value increase or how does the split look when comparing this aspect to underlying development of the portfolio companies? Thank you.
Christian Sinding: Thanks. The discussion around Europe is a broader one. But we’ve been involved for a number of years with the European Commission to help actually improve European competitiveness. And there are a number of axes that are important. Deregulation is one. So speed of being able to transform industries and societies, especially around renewables and the energy transition, but also even digitalization of society with building data centers and all these things. The second would be a better, like a capital markets union. So much easier capital flows between European countries, bigger stock exchanges, less friction between countries and a number of elements around that. And actually, even the ability to move talents around, so tax structures around those elements. So there are a number of structural things that I think the Draghi report also has pointed to that we think are important. And with the scale that we have in Europe, we hope to be working together with governments to improve European competitiveness over time. Now, the conundrum, of course, is that during the situation in Europe, given that there are some challenges in some of the European countries with regards to macro, that means that we can actually find global companies in our sectors that are pretty attractive to invest in. So for us, it’s not a problem per se, but we do think with our scale that we can be hopefully a positive actor in Europe over time.
Gustav Segerberg: Good. I’ll pick up on the fund valuation and performance question that you had, Jacob. So there are a couple of reasons, or quite a few reasons, as to the strong underlying performance of the funds in 2024 and in 2024 in particular. I mean, first of all, it’s the underlying performance of the companies. As we said, 90% plus of our European portfolio companies are expected to grow double-digit EBITDA growth, and three quarters of the companies in Asia and the U.S. are expected to grow double-digit EBITDA. So the underlying performance is, of course, a critical element in it. Secondly, as you know, our private markets valuations, they tend to move slightly slower than the public market valuations. And we did have quite a long time period where we adjusted our valuation references as part of our multiples, and I’d say, we probably reached the stage where multiple headwinds are no longer offsetting some of the underlying performance. So you see the underlying performance more clearly compared to what you’ve done in recent quarters. Third, I’d point to the public markets. As you rightly point out, many of our listed companies have performed very, very strongly during 2024, and that of course, is reflected at the market price for those companies as of December 31 in our fund valuations when we report our gross MOICs. Fourth point I’d raise is in terms of exit events. Either if we crystallize an exit at a valuation that turned out to be higher than where we had it in our books, or alternatively, exit processes where we get more substantiated valuation indications may also help our fund valuations and certainly did in Q4. And lastly, on the margin, from quarter-to-quarter, you could have some FX effects and we did have some positive FX effects that on the margin contributed as well.
Operator: Thank you. We will take the next question. And your next question comes from the line of Nicholas Herman from Citi. Please go ahead.
Nicholas Herman: Good morning. Good morning, gents. Thanks for taking my questions. Three from me, please. Firstly, on BPEA IX, you said that you expect to broadly reach the target size, approach the target size at the first close. Given such strong demand, would it be possible in theory to increase the hard cap beyond the $14.5 billion that you set, and what conditions are required to do so? On value creation, very impressive value creation this quarter. We just -- how much of the value creation would you also attribute to lower discount rates as a result of falling interest rates? And a related question, given clearly more than three quarters of the portfolio is growing double-digit or expected to grow double-digit, and given the expected number of exits, do you think this level of value creation is repeatable this year? And then just a final quick one on real estate fundraising. Are you seeing a recovering demand now across your client base and how are you thinking about the outlook for real estate fundraising this year and next year? Thank you.
Gustav Segerberg: Yeah. Maybe I start with BPEA IV and I can also do real estate. Maybe I’ll do both of them in one. So, as you point out, we’ve set the hard cap at $14.5 billion. There is a possibility to increase the hard cap. It would require certain approvals from our investors, but there is a possibility. But I would not expect us to do that based on what we’re seeing right now. On the real estate side, I think, as we pointed out in the Q3 presentation, what we are -- and I think what we continue to highlight now is that we’re seeing an improvement in the real estate market, both from a fundraising perspective and from an investment perspective, which, of course, also aligns well with what we also mentioned in the Q3 report, i.e., that we will now turn to fundraising, what we call, let’s say, the flagships within our real estate platform, i.e., the Value-Add Logistics Fund in Europe that is starting now on the fundraising side. And then we -- on the -- in the later part of this year and going into 2026, we will aim to raise both the Core -- Next Core Plus Fund and the Value-Add Fund on the logistics side in the U.S. And as a reminder, as we also mentioned on the Q3 report, is that the combination of those three vehicles in the last generation was around $10 billion.
Christian Sinding: Okay.
Nicholas Herman: Very helpful. Thank you.
Christian Sinding: I can pick up on your question, Nicholas related to interest rates. And if you take a step back and think about our fund valuation processes, most of the companies are valued based on public market comparables. And of course, if interest rates are supportive for overall asset valuations, it would help our reference multiples and therefore implicitly also be beneficiary -- beneficial to our fund valuation in that sense. Some of our companies, but it’s a minority of our companies, would be valued on a DCF basis or we have a mix of valuation methodologies. And there, to some extent, rates do play into the valuations, of course. And then I say the third component of our valuations is, as I alluded to before, also exit processes and whether we have clear indications or for that matter, there are transaction comparables that are very similar to our assets. We may vector that into the valuations as well. So rates do have some impact, but I would not say it has a material impact, at least in terms of the changes that we have been experiencing as of the recent past. Then as to your question on the outlook for value creation, I wouldn’t want to substantiate it as to a particular year. I’d rather take a step back and think about our gross market targets that you know are 2 time to 2.5 times for our private equity funds and it is 1.7 times to 2.3 times for our infrastructure funds. And we have 10-year funds. And that means that we have IRRs that are towards the 20% for the PE funds and a few percentage points below potentially for some of the infra funds and that’s really how you should think about it over the longer term. And then it can be slightly faster in certain quarters as we had in Q4 or slightly slower as we’ve had in certain quarters.
Nicholas Herman: Can I just ask that question in a different way? Do you think you can hit your target IRR then in 2025?
Christian Sinding: Sorry, I missed that, Nicholas.
Nicholas Herman: Do -- in fact, can you hear me now? My question was, obviously, we’ve seen your fund IRRs perform below the implied targets, what was implied by your target MOICs over the past three years? I mean, that’s obviously understandable, given what’s been happening. Do you think in 2025 will be the year when we start to see you achieving the level of IRRs that are needed then, that are implied by your target MOICs?
Christian Sinding: Well, we are -- as we’ve alluded to, half of our key funds are performing on plan and half of them are performing above plan. Then there is an IRR topic in that, of course, and that may vary from interim period to interim period, but I don’t want to put a number to it as to where we expect the IRRs to be in 2025, but rather think about it as the plans being on plan or above plan.
Nicholas Herman: Okay. Fair enough. Thanks a lot.
Operator: Thank you. Your next question comes from the line of Isobel Hettrick from Autonomous. Please go ahead.
Isobel Hettrick: Good morning. Thank you for taking my question. I just have one clarification, please. So in Gustav’s remarks during the presentation, you mentioned that you didn’t expect fundraising levels of the 2021 mark to return until 2027. Can I just check there, are you talking about absolute gross levels of inflows and fundraising, or are you talking about the timeline it takes between launching funds, so more two years in 2021, and now we’re at three and a half years? Thank you.
Gustav Segerberg: I’m talking about absolute fundraising levels in the market in total. So not related specifically to EQT…
Isobel Hettrick: Okay.
Gustav Segerberg: … but to the market levels that we see, we expect that, and I think there are, let’s say, market reports around it as well that point to that those levels that we saw in 2021 will be seen again in 2027.
Isobel Hettrick: Okay. So, yeah, thank you.
Operator: Thank you. Your next question comes from the line of Sharath Kumar from Deutsche Bank. Please go ahead.
Sharath Kumar: Good morning. Thank you for taking my question. I hope I’m audible. So I have three, please. Firstly, on your €100 billion fundraising targets over 2025 to 2027, can you give us more color on the phasing of this? I know predominantly it will be driven by the flagships in Asia, private equity infrastructure, but how should I think about your ambitions for the remaining strategies and maybe the timing of it between 2025 to 2027, that could be helpful? The second one is on India. In your previous Capital Market Day event, you spoke glowingly about the opportunity. Given the very positive capital market outlook, would you say that the market is developing ahead of your expectations and whether we can expect a dedicated flagship fund earlier than expected? Also, you spoke about a couple of exits this year. Can you give us a rough indication of the transaction size? Again, I ask this because the IPO market has been on a tear and wondering whether this could already make a material difference to your carried interest expectations this year? And the final one is a technical question on the FX impact. I would think that USD strength would be beneficial for your P&L, in particular from Exeter and Asia, but maybe can you quantify the margin impact on this? Thank you.
Christian Sinding: Hey. Good morning. Do you want to start, Olof?
Olof Svensson: Yeah. Maybe I’ll start. And I don’t think we will be more specific than when we talked about this in the Q3 presentation, in that, so to speak, the flagships, as you point out are, let’s say, the majority of that €100 billion. We won’t split it up between years. And we haven’t said that it’s specifically, let’s say, 2025 to 2027. What we’ve said is that it’s the next fund generation. And as you know, that’s not specifically three years. It can be three and a half years that we’ve seen it. So there is not -- it’s -- you shouldn’t take that as it’s specifically for those three years, so to speak. But I would say that, in general, that the free flagships are a bit more than half of it. And as I pointed out, the real estate -- the three real estate funds were €10 billion in the last fund generation of the 75 that was then. So I think those are, so to speak, some of the pointers that we will give.
Christian Sinding: And on India, great question. Yeah, the India program is our largest in our private equity business in Asia. It’s about 30% to 35% of the funds that we invest. We have a number of exits planned and we already IPOed Sagility, as we’ve seen, and that’s gone very well. The team is growing and performing superbly. But we haven’t taken any decision whether there should be a dedicated strategy to India or themes around India and the region. So for the time being we’re focused on investing BPEA VIII and raising BPEA IX, so we can get going on that fund and then we’ll see where it goes from there.
Kim Henriksson: Well, was it then, sorry, the margin effects impact or was it something else? On -- I guess, Olof’s comment was referring to the valuations and there’s an impact of FX there, translation wise. In terms of margin impact, we have more than 40% of our revenues in dollars, but also costs broadly in the same region, slightly lower in terms of percentage terms. So the margin impact is not dramatic. And if you look at 2024 as a year, which is what we’re talking about here, it has been very, very small.
Sharath Kumar: Thank you for that. Just to follow up on the second part of my India question, if you can give any indication of the transaction size of the exits that you’ve planned. Again, the reason I ask this is whether it could make a material difference to your 2025 carried interest expectations? Thank you.
Christian Sinding: Thank you. We don’t give guidance on particular transactions, nor the volume of transactions, nor on carry. So just to state that, Kim, I don’t know if you want to add anything to that comment.
Kim Henriksson: No. I think we’ll leave it at that.
Christian Sinding: Thanks.
Sharath Kumar: Fair enough. Thank you.
Operator: Thank you. We will now take our final question for today. And the final question comes from the line of Charles Bendit from Redburn Atlantic. Please go ahead.
Charles Bendit: Thank you for taking my questions. For the additional disclosure this quarter, so I’ve got a couple of questions on private wealth, if I may. The first one, in terms of U.S. wealth distribution, what would you say are the most important factors that will determine success in gathering assets from this channel? Secondly, are you able to give some color on whether you have or will have representation on the product shelves of all four of the warehouses? And third, do you expect servicing this channel to be somewhat more resource intensive on an ongoing basis or just initially as products are first built out? Thank you.
Gustav Segerberg: Yeah. I think on the first question, I would say, we’ve kind of touched upon most of these things already, so to speak, in that what’s required is that we have, let’s say, the people and set up in place in order to serve the market, that we have the relationships and let’s say the connectivity with the warehouses, the private banks, et cetera. And then, of course, that we have the right products in place in order to serve this market. And I would say on all those three, I think we feel that we’re making great progress on them and that we will be in a position where we, over time, should be able to win in this market on a global basis, including North America. On the second question, I will not comment on that. As I said, we’re in regulatory filing, so you will not get an answer to that. And on the third one…
Christian Sinding: Olof answer that?
Gustav Segerberg: Can you repeat the third one?
Charles Bendit: Sure. It’s a question about whether you think servicing the wealth channel will be more resource intensive…
Gustav Segerberg: Yeah.
Charles Bendit: … on an ongoing basis?
Gustav Segerberg: And comp -- I think it depends on compared to what, so to speak. I think that we feel that across the 100 people or thereabouts that we have now, that means that we have, let’s say, pre-invested in order to create -- in order to be able to launch these products, i.e., that we have the people in place to start and to get the initial momentum. But of course, over time, as this product line grows, as this channel grows for us, that will mean that we will need to have more people. But I think when you think about it from a, let’s say, relative profitability point of view, we don’t see that there -- that this will have a negative impact in that stance over time. It, of course, have it today as we’re building the resources before we have the revenues.
Operator: Thank you.
Christian Sinding: Operator?
Operator: Thank you. There are no further questions. I will hand the call back for closing remarks.
Christian Sinding: Thank you. Thanks everyone for joining us today. Thank you for excellent questions. We look forward to further engagement next week in the analyst meetings in London and wish you a great continued week.
Gustav Segerberg: Thank you all.